Operator: Good morning and thank you for participating in Tennant Company's Third Quarter Earnings Conference Call. This call is being recorded. If you do not wish to participate, you may disconnect at this time. After the speakers' remarks, there will be a question-and-answer session. (Operator instructions) We ask that you remain online for closing remarks by management after the question-and-answer session. Beginning today's meeting is Tom Paulson, Vice President and Chief Financial Officer for Tennant Company. Mr. Paulson, you may begin.
Tom Paulson: Thanks, Christopher. Good morning, everyone and welcome to Tennant Company's third quarter 2010 earnings conference call. I'm Tom Paulson, Vice President and Chief Financial Officer of Tennant Company. With me on the call today are Chris Killingstad, Tennant's President and CEO; Pat O'Neill our Treasurer and Karen Durant, our Corporate Controller. Our agenda today is to review Tennant's performance during the third quarter and our outlook for the remainder 2010. First, Chris will brief you on our operations and then I'll cover the financials. After that, we'll open up the call for your questions. Before we begin, please be advised that our remarks this morning and our answers to questions may contain forward-looking statements regarding the company's expectations of future performance. Such statements are subject to risks and uncertainties and our actual results may differ materially from those contained in the statements. These risks and uncertainties are described in today's news release and the documents we file with the Securities and Exchange Commission. We encourage you to review those documents, particularly our Safe Harbor statement for a description of the risks and uncertainties that may affect our results. Additionally, on this conference call, we will discuss non-GAAP measures that include or exclude special or nonrecurring items. For each non-GAAP measure, we’ll also provide the most directly comparable GAAP measure. Our release includes a reconciliation of these non-GAAP measures to our GAAP results. Our earnings release was issued this morning via business wire and is also posted on the Investor section of our website at www.tennantco.com. At this point, I'll turn the call over to Chris.
Chris Killingstad: Thank you, Tom. And thanks to all of you for joining us this morning. Today, I will cover highlights of the 2010 third quarter and update you on a few of our strategic initiatives. We are very pleased with Tennant’s quarterly and year-to-date performance. As you saw in today's earnings announcement, the company has now posted three consecutive quarters of sequential sales and earnings gains. In addition, the business has reported three quarters in a row of double-digit organic sales growth, which excludes the impact of foreign currency. We are encouraged by these positive trends especially in light of this year’s pervasive economic uncertainties. As a result of Tennant’s strong sales and earnings through the first nine months we have increased our full year guidance for the third straight quarter. Taking a closer look at the company’s financial performance; net sales in third quarter rose 9.2% with our business marinating its strong growth in the Americas and in Asia, particularly in China and Australia. Notably, Tennant’s organic net sales grew approximately 11% in the third quarter and we also had double-digit organic growth of about 12% in both the first and second quarters of this year. Looking at Tennant’s sales, by geographic region, organic sales rose approximately 16% in the Americas and 29% in the Asia Pacific region. Contributing to these results with strong sales of rider scrubbers and sweepers to the industrial market and walk behind models for the commercial market. However, we saw organic sales decline nearly 6% in EMEA as weak economic conditions in Europe let to lower purchase of Tennant’s outdoor city cleaning equipment by municipal governments. Excluding the impact of city cleaning sales EMEA grew organically by about 4.5%. The quarter’s higher sales volume coupled with our continued emphasis on controlling and improving our cost structure led to improved gross margins and higher earnings per share versus the prior year quarter. Gross margins were up 60 basis points to 42.6% versus 42% in the year earlier quarter. And third quarter earnings per share totaled $0.39 up from $0.31 in the third quarter last year. The company generated $30.2 million in cash from operations during the first nine months. We ended the third quarter with total cash of $33.7 million compared to $13.9 million a year ago and total debt fell to $31.8 million from $43.4 million in the year ago period. All in all we are pleased with Tennant’s robust results during the 2010 third quarter. Now I’ll share with you some of the factors that are contributing to our success. First and foremost we’ve seen further marketplace momentum for our proprietary ec-water technology. As in recent quarters, Tennant’s sales gains were cheaply driven by continued demand for scrubbers, equipped with ec-water. Those of you who are familiar with Tennant know that our environmentally friendly ec-water platform converts plain tap water into a powerful cleaning agent, without any added chemicals. In addition, to being eco friendly it offers customers significant cost savings and benefits, including greater productivity and worker safety. We extended ec-water to three industrial rider scrubbers in the first half of 2010 as planned. We now have six walk-behind and nine rider scrubbers equipped with this technology. As we anticipated the ec-water is proving to be a complete game changer in our industry. After 28 months on the market, no comparable alternative exists and just over two years, we have achieved significant sales traction on scrubbers equipped with this technology. As a reminder, in its first year ec-water contributed $17 million to 2008 sales. The second year ec-water sales grew to $50 million. Year-to-date, the ec-water has generated $63 million in sales, which is ahead of our nine month 2010 estimated sales for the technology. Given all progress and after a record third quarter, we’re on track for 2010 full year sales of scrubbers with ec-water to reach a range of $90 million to $100 million. Clearly ec-water technology offer significant revenue in market share potential. Since we first introduced it, we have learnt a great deal about the capabilities of electrolyzed water cleaning technologies. We are in the process of leveraging our ec-water technology platform under the Orbio brand in three phases. We have completed the first phase by extending ec-water to all of our relevant existing scrubber equipment. We continue to realize the benefits of this strategy. Year-to-date, ec-water have helped accelerate Tennant sales and market share gains. This technology has been the primary contributor to our increased percentage of sales from new products introduced in the past three years. New products accounted for approximately 46% of equipment sales during the 2010 third quarter and 40% year-to-date. This compares favorably to our goal of 30% of sales from new products. Additionally, we continued to attract new customers because of ec-water, another testament to the powers of this innovative technology. The second phase involves cleaning more of Tennant’s customer’s bases in more environmentally friendly ways. We’re making progress in this endeavor. We currently have research studies and tests underway with key customers in North America and Europe. This includes pursuing the development of new cleaning devices that will be capable of delivering chemical free cleaning in environments beyond floors. We anticipate launching our first Orbio new product from this initiative in the first half of 2011. The first phase is to develop new markets and applications. To assist us here, Tennant has engaged an outside consulting from that specializes in opportunity evaluation and commercialization of disruptive technologies. We are excited about the initial strides our Orbio Technologies Group is making to further enhance and expand our electrically converted water technology platform and build a robust chemical free cleaning business. Our plans require a higher level of R&D investment this year. As we previously stated, Tennant’s R&D spending levels for 2010 will be around 4% of sales. Moving forward, we continue to remain focused on efficiently running the business as well as capitalizing on our exciting growth opportunities. We are directing resources against three strategic priorities to leverage our IT systems and drive process improvements and operational efficiencies. Strengthen the large equipment portfolio by developing a new and innovative high performance and lower cost modular design architecture and build a sizable, robust, chemical free cleaning business. Now, I'll ask Tom to review Tennant's financial results and our outlook. Tom.
Tom Paulson: Thank you, Chris. In my comments today, all references to earnings per share are on a fully diluted basis. Also, please note as I go through the results, I'll generally not comment on the year-to-date financials, as those were detailed in the earnings release. As Chris noted, we are pleased with the company's performance in the first nine months of this year, which represented a significant turnaround from a year ago. For the third quarter ended September 30, 2010, Tennant reported net earnings of $7.5 million or $0.39 per diluted share on third quarter net sales of $168.6 million. In the year-ago quarter, Tennant reported net earnings of $5.8 million or $0.31 per diluted share on net sales of $154.4 million. Turning now to more detailed review of the 2010 third quarter; Tennant's consolidated net sales of $168.6 million increased 9.2% over the prior year third quarter. For the 2010 third quarter, consolidated net sales were unfavorably affected foreign currency exchange impact of approximately 1.5%. Organic sales which excluded the foreign currency impact grew approximately 10.7%. The growth was primarily driven by sales of industrial equipment in the Americas and continued strong sales of scrubbers equipped with ec-water technology. Once again, we had year-over-year increases in large sweeper sales in the third quarter with growth in the first nine months of approximately 50%. We estimate this is still about 10% to 15% below the pre-recession level of large sweeper sales. But it is encouraging to have three consecutive quarters of year-over-year sales goal. As you may recall organic sales rose approximately 2% in the 2009 fourth quarter, which was the first quarter-over-quarter sales growth we posted since the third quarter of 2008. And now we have double-digit organic sales growth in the range of 11% to 12% in the past three quarters. As I take you through our sales by geographic region, please remember that we have re-categorized our three regions to cover. The Americas which now in encompasses all of North America and Latin America, EMEA which still covers Europe, the Middle Eastern Africa and lastly Asia Pacific which includes China and other Asian markets Japan and Australia. For your reference we have provided a table of 2009 sales by quarter for this new geographic categorization on the Investor portion of Tennant’s website. In the Americas we reported our third quarter year-over-year sales gain of 16.5% excluding the favorable foreign currency impact of approximately 0.5%, organic sales was roughly 16%. The growth in the Americas was driven by sales of industrial products especially large sweepers and continued strong sales of scrubbers equipped with ec-water technology. In EMEA, sales declined 14.3%, the approximate impact from foreign currency flipped over from favorable in the first half to an unfavorable 8.5% in the third quarter. Primarily, related the fluctuations and the exchange rates between the Euro and the Dollar. Excluding this unfavorable foreign currency impact of approximately 8.5%, organic sales declined roughly 5.8% as weak economic conditions in Europe lead to lower sales of outer city cleaning equipment to municipalities. Excluding these city cleaning sales EMEA grew organically in the third quarter by approximately 4.5%. In Tennant’s, Asia Pacific region sales rose 36.6% excluding a favorable foreign currency impact of approximately 7.5%, organic sales growth was approximately 29.1% fueled by continued strong sales in China and Australia. Tennant’s gross profit margin for the 2010 third quarter was 42.6% up 60 basis points versus 42% a year earlier. However, gross margin was down 50 basis points sequentially from 43.1% in the 2010 second quarter. This was primarily due to higher prices of some commodities and unfavorable manufacturing cost variances related to lower production levels of city cleaning equipment in Europe. We have seen some commodity price increases in select areas such as lead, copper, steel and resins, which is negatively impacting the cost for batteries motors and coatings. However, we still expect to hit our goal of saving $20 million from global source in 2010 a year earlier than plan, despite some commodity price pressures and lower volumes that originally anticipated due to the economic slowdown. Research and development expense in the third quarter totaled $7.1 million versus $5.5 million in the prior year quarter. R&D expense as a percent of sales was 4.2% in the third quarter of 2010 compared to 3.5% in the third quarter last year. Selling and administrative expense in the third quarter of 2010 totaled $54.2 million or 32.2% of net sales compared with $51.8 million or 33.5% of net sales a year earlier. The third quarter 2000 expense level on a dollar basis increased 4.7% versus the prior year, primarily due to variable selling expenses on significantly higher 2010 sales. We are gaining operating expense efficiencies in 2010 with selling and administrative expense as a percent of net sales decreasing from 34.5% in the first quarter to 32.8% in the second quarter and now 32.2% in the third quarter. Our third quarter operating profit was $10.5 million or 6.2% of sales versus operating profit of $7.6 million or 4.9% of sales a year ago. Our medium term goal to achieve an operating profit margin of at least 9.5% when revenues return to pre-recession levels and our longer-term goal is a 12% operating profit margin. The 2010 third quarter, Tennant’s overall effective tax rate was 27.4%. Our base tax rate was 37.9%, which included a retrospective adjustment to increase the base tax rate from 36.5% to 37%, do primarily to the mix of earnings by country. We had discrete net favorable tax items of about $1.1 million of which 224,000 or $0.01 a share related to the release of our China valuation allowances, which is a special or unusual item. Our base tax rate does not yet include any benefit for federal R&D tax credits as we are not allowed to consider these credits in our tax rate until they're formally reenacted. Turning now to the balance sheet. Again, we are pleased with the company's progress. Net receivables at the end of the 2010 third quarter decreased to $114.6 million versus $114.7 million a year earlier despite higher sales compared to the prior-year quarter. Accounts receivable, days-outstanding was 62 at quarter end, down from 66 at the end of the 2009 third quarter. We continue to proactively manage our receivables both by enforcing tighter credit limits and successfully collecting past due balances. Tennant's inventories at the end of the 2000 third quarter increased to $68.5 million from $60.8 million in the third quarter last year. FIFO day’s inventory in hand declined to 91 days at the end of the quarter compared to 94 days in the year-ago quarter. The improvement in days is due to higher sales levels and the continued strides that are made to managing our inventory. Accounts Payable totaled $44.5 million at the end of the third quarter, up from $37.7 million in the year-ago quarter, due to the lengthening of payable terms and higher sales volumes. With our increased focus on conservative cash management, we have worked closely with our suppliers to extend payment terms, while retaining the flexibility to revert back to taking cash discounts when economic conditions weren’t. Capital expenditures totaled $6.7 million in the first nine months of 2010 versus $8.8 million in the prior year period. We continue to tightly control capital spending and we implemented a rigorous prioritization process earlier this year to ensure we are improving projects that best align with our strategies and are designed to offer an attractive return on investment. Our strong cost controls continue to yield benefits. We saved more than $15 million in 2009 from our restructuring actions and we anticipate incremental savings of another $5 million from these actions in 2010 for a total of 20 million savings in 2010. Please note that by leveraging our existing workforce, we have continued to hold our employee count to 2,800, which is flat with when we completed the restructuring; that is down 11% from Tennant's pre-recession peak. Tennant generated $30.2 million in cash from operations in the first nine months of 2010 compared to $58.4 million in the prior year period. Total cash and cash equivalents at the end of the 2010 third quarter was $33.7 million compared with $13.9 million a year ago. The company's total debt of $31.8 million is $11.6 million lower than $43.4 million a year ago. The debt reduction was the result of our ongoing focus on cash optimization, lower capital spending and improved working capital management. Our debt to capital ratio was now down to 13.7% at the end of the 2010 third quarter versus 19.5% at the end of the 2009 third quarter. Moving now to our outlook, we saw continued improvement in the company's performance in the 2010 third quarter, but we will continue to manage the business conservatively with a focus on operational excellence and rigorous cost controls or making selective investments in key strategic priorities. For the remainder of 2010, we anticipate steady recovery in North America, strong growth in emerging markets and continued sluggish conditions in Europe. Additionally, our 2010 full-year financial outlook includes the following expectations. Minimal foreign currency impact on sales for the full year with a favorable first-half impact been offset by an unfavorable second-half impact, a gross margin in the range of 42% to 43%, research and development expense of approximately 4% of sales and capital expenditures in the range of $10 million to $12 million. Also as you may recall, we had ESOP income in 2009 of about $1 million. However, on December 31, 2009, our ESOP program ended, so we'll no longer have ESOP income this year. We continue to anticipate a base tax rate in 2010 in the range of 34% to 36%, depending primarily upon the mix of full-year taxable earnings by country. However, the revised earnings guidance exclude the impact of an anticipated one-time tax benefit in the 2010 fourth quarter resulting from a reorganization realignment of international operations to provide commercial benefits and reporting efficiencies. The reorganization is also excepted to provide a more tax efficient international legal structure that will positively impact the effective tax rate in 2011 and beyond. We’ll not know the exact amount of the one-time tax benefit until the reorganization closes in the fourth quarter, but we expect it to be significant. Based on the financial results in the first nine months of 2010, we now estimate net sales for the full year in the range of $655 million to $665 million, which is a more narrow range than our previous guidance of $645 million to $665 million. We anticipate earnings for the full-year 2010 in the range of $1.25 to $1.35 per diluted share, which is higher than our previous guidance of $1.00 to $1.30 per diluted share. Our revised full-year guidance includes Tennant’s strong first nine-month results and assumes performance consistent with our 2010 third quarter for the remainder of the year. Again, this revised guidance excludes the anticipated one-time tax benefit related to the international business reorganization that I just mentioned. We anticipate another solid quarter of year-over-year increased sales and earnings in the 2010 fourth quarter. Long term, we remain committed to profitably growing our traditional business and expanding our global footprint in chemical-free cleaning. And now, we would like to open up the call for any question. Thanks Christopher.
Operator: (Operator Instructions) Your first question comes from the line of Ted Kundtz from Needham. Your line is now open.
Ted Kundtz – Needham & Company: Thanks, good morning everyone. Could you cover a little bit, maybe Chris you could talk a little bit about Europe or Tom, either one of you, just what you see there? You indicated that you except to still remain weak. Are you seeing any kind of a pick up over in Europe yet or is it still looking like the performance in the Q4 could be kind of equivalent to Q3?
Chris Killingstad: We are basically saying that we anticipate performance in Q4 being similar to performance in Q3, we are not seeing any pick up. And if you look at the macroeconomic indicators, they are improving at all over the near future either. In a [Inaudible] most of the issues are in Europe and most of those issues are in Western Europe, are two biggest countries are the UK and France. And we anticipate that they will remain sluggish for the foreseeable future.
Ted Kundtz – Needham & Company: Okay.
Tom Paulson: And I would just add one piece that we don’t fundamentally think we have any issues with our business. We want to make sure everybody recognizes. We feel it’s really economically-driven poor performance. But as Chris said, we do except similar performance in Q4 to Q3.
Ted Kundtz – Needham & Company: Yes, that was my next question, whether you feel like you’re losing market share there and you don’t feel you are? Have you guys completed your market share study that you were working on and do you have any kind of update as to what your market share is globally? 
Tom Paulson: Yes, we have not completed it yet Ted. We have gone a fair amount deeper than we’ve historically gone, so it’s taken us a bit longer than we would expect, but we certainly expect to be providing some insights into that next year as we release our full-year earnings.
Ted Kundtz – Needham & Company: Okay. And your margin outlook was pretty much in the same range. What do you look for longer term in terms of gross margins? Do you feel that there is upside to those margins as you perhaps the mix changes all, but more favorably as it has towards the ec-water technology?
Tom Paulson: We are going to be cautious about not providing any forward-looking guidance at all at this point, but I would say we continue to expect to be able to manage our gross margins in that 42% to 43% range and we would hope that’s conservative and assuming we see continued revenue growth and return to a more normalized pricing environment without any big up tics in commodities, we might actually get some upside out of that, but I wouldn’t count on anything above 43% at the current time.
Ted Kundtz – Needham: Okay, just on pricing, are you seeing any ability to raise prices to reflect some of these commodity ….
Tom Paulson: Not yet, not any major way. We still view it as a tough pricing environment we experienced. Our third quarter was really similar to the rest of the year, which it varies dramatically by geography, by product line, et cetera, but overall we saw less than a percent of pricing benefit across the world in the third quarter just like we saw in the fist half of the year.
Ted Kundtz – Needham: Okay, great. Thank you.
Operator: (Operator Instructions) Your next question comes from the line of Joe Maxa from Dougherty & Company. Your line is now open.
Joe Maxa - Dougherty & Company: Thank you. Tom, can you give us thoughts on the tax rate for next year given what you put in the press release here?
Tom Paulson: We are not prepared to do that Joe. I mean, I’ll give you a little bit of color and first I’ll remind you we did say it would be significantly positive, we will not incur any one-time cost to execute this, and we’ve talked about a tax range of today of 34 to 36, the lower end of that range assuming that the R&D tax credit gets reenacted as we execute this tax strategy assuming closure in Q4, we’ll see a meaningful reduction to our ongoing tax rate. So, we are really excited about implementing this change. We are not prepared to give any further specifics. We’ll get into a great detail when we release earnings for the full year.
Joe Maxa - Dougherty & Company: Okay. I wanted to ask the traction from the newer products, the 500ZE and the Scrub-N-Go, if you can give us a little color?
Chris Killingstad: Well, I would say that in both cases, the going has been slower than what we initially anticipated and our sense is most of that is driven by the economy. So, with the 500ZEs, we told you our city cleaning business in general is struggling because municipalities do not have the budgets to buy the traditional stuff, much less an innovative new product at a significant price premium like the 500ZE. We continue to test the product in multiple European cities, we have sold a handful of them and they are performing well, we believe strongly that this product is going to be very successful in the medium to long-term, but for the time being it is pretty much wait and see until the economy recovers. On the Scrub-N-Go, I think we told you in the last couple of quarters, it’s taking longer to get traction than what we would like, but both we and Ecolab are very bullish on this product medium term. We have approvals from McDonald’s, from Burger King and from Yum Brands. The franchisees that have a purchase to unit we’re seeing that many of them are beginning to purchase multiple units, which means its working. So I think it’s just a matter of time and I think as word of mouth spreads this product actually cleans really well and improves productivity, we are going to see this thing ramp up. It’s still not material to all results, so we are not divulging publicly exactly how many we sold so far.
Joe Maxa - Dougherty & Company: Okay, thank you. And lastly, I know you have not given guidance for next year, but should we be thinking about -- are you seeing a typical seasonality? Would you expect Q4 to Q1 or do you increase in traction with ec-water can you explain that out a little bit?
Chris Killingstad: We would expect that more of a general returned to normalized seasonality next year. I mean, the abnormalities we had this year was Q3 was above Q2 modestly, that’s unusual. I mean, and certainly a part of that was ec-water and the economic recovery, but for modeling purposes for now anyway, I would assume normal seasonality next year.
Joe Maxa - Dougherty & Company: Right, okay, thanks guys.
Operator: And there are no further questions at this time.
Tom Paulson: Alright then, no further questions. Let me come with the closing remarks. So, we are very pleased with our financial performance in the third quarter and the first nine months of 2010. We made further progress across our operations that resulted in significant top and bottom-line gains. We also invested in new products that we believe will fuel Tennant's future revenue growth. We remain excited and committing to achieving our strategic vision to become a global leader in chemical-free cleaning. We believe that our strategic direction coupled with strong cost controls, improved operating efficiency and new products will further enhance Tennant's long-term value creation potential. Thank you for your time today and for your questions. We look forward to updating you on our 2010 full-year results in February. Bye, bye.